Operator: Thank you for standing by and welcome to Navitas Semiconductors Fourth Quarter and Full Year 2021 results conference call. At this time all participants are in a listen only mode. After the speakers presentation there will be a question and answer session. [Operator Instructions] I would now like to hand the conference over to your host, Vice President of Corporate Marketing and Investor Relations, Stephen Oliver.
Stephen Oliver: Good afternoon, everyone. I'm Stephen Oliver, Vice President of Corporate Marketing and Investor Relations. Thank you for joining Navitas Semiconductor's fourth quarter and full year 2021 results conference call. I'm joined today by Gene Sheridan, our Chairman, President and CEO, and Todd Glickman, our CFO. This call is being webcast on the investor relations section of our website at IR.Navitassemi.com. And the replay will be available about an hour following this call and available for another 30 days. Additional information related to our business is posted on the investor relations section of our website. Our earnings released and this presentation include certain non-GAAP financial measures. Reconciliations of these non-GAAP financial measures, with the most directly comparable GAAP measures are included in our earnings release, and also posted on our website in the investor relations section. In this conference call, we will also make forward-looking statements about future events or about the future financial performance of Navitas. You can identify these statements by words like “we expect”, or “we believe”, or similar terms.  We wish to caution you that such forward-looking statements are subject to risks and uncertainties that could cause actual events or results to differ materially from expectations expressed in our forward-looking statements. Important factors that can affect Navitas business, including factors that could cause actual results to differ from our forward-looking statements are described in our earnings release. Please also refer to the risk factors affecting Navitas discussed in our SEC filings, including the prospectus dated December 6, 2021 as supplemented or amended from time to time. Our estimates or other forward-looking statements may change, and Navitas assumes no obligation to update forward-looking statements to reflect actual results, change assumptions or other events that may occur except as required by law. Now, over to Gene Sheridan, CEO.
Gene Sheridan: Thanks for the close out. And thank you to everyone for joining us today. As we close out 2021 I would like to summarize some of our key accomplishments. In October we celebrated our IPO within seven years of founding we believe a record for any power or semiconductor company and the result of intensive focus to establish Navitas and the clear technology and market leader in Gallium Nitride or GaN Power ICs. GaN is a next generation power semiconductor with up to 20 times faster operation and our GaN plus Power ICs deliver 3x more power and 3x faster charging in half the size and weight and with up to 40% energy savings compared to traditional silicon chips. In 2021, the annual revenues doubled to nearly $24 million with Q4 revenue growing sequentially by over 30%. At the end of ‘21, our cumulative unit shipments increased to over $35 million units with zero GaN related field failures, while Q1 will see slightly lower revenue compared to Q4 given expected seasonality, we anticipate sequential growth in Q2 of greater than 50% as we expect multiple major new tier one GaN charger launches ramping significantly in next quarter. In total, we continue to forecast another doubling of annual revenues for this year. Our gross margins improved in ‘21 by over 10 points year-on-year as all customers adopted our generation two in the first half and started ramp of our generation three late in the year, both of which offered Navitas and our customers significant performance improvements and cost reductions. For 2022, we will see the impact of the TSMC 20% wafer price increase, which will limit our margin expansion in the year while we look forward to our generation for ramp in the second half of ‘22 which will fuel our margin expansion into 2023. Taking a closer look at some of these new technology developments. Generation three with GaNSense technology integrates critical sensing circuits monolithically into GaN for the first time in our industry. Generation three unlocks another 10% of energy savings while adding important new protection circuits to set a new standard and reliability. Already in mass production with Lenovo, Xiaomi, Vivo among others. GaNSense was honored last month in Las Vegas with a CES 2022 Innovation Award. GaNSense is also a key enabler in the new exciting ultra fast charger category. Hot on the heels of generation three, we have generation four, which will start sampling next quarter. This will bring further gains in energy savings and cost reduction and we will give further details when that technology is fully launched later in the year. With all of these developments in mind our patent portfolio now totals over 145 patents pending or issued reinforcing strong competitive protection for a multiyear lead in GaN IC technology. Our high power progress continued with two new industry firsts GaN design centers dedicated to data center and to electric vehicles. And I'm excited to announce today two other industry firsts. We have just published the industry's only sustainability report dedicated to quantifying the positive impact GaN is having on decarbonisation and on conserving our planet's natural resources. In addition, today we're announcing the industry's first 20 years warranty for GaN ICs. I'll explain more about some of these new developments later. But let me first give you an update on our mobile charger business. At the end of ‘21, the number of customer chargers released to production increased 75% from the prior year reaching an all time high of 171. In addition, we have doubled our design pipeline compared to the prior year with a new high of over 240 customer projects now in development with the vast majority of those expected to launch throughout the year. We announced a new strategic partnership with Anchor, a leader in aftermarket fast chargers with a number of GaN chargers already announced and many more in development. In addition to strong adoption in the aftermarket and accessory chargers, our tier one inbox charger introductions doubled in ‘21 compared to 2020. That list now includes Xiaomi, Vivo, Motorola, Del, LG, among others. We also announced a new category of ultra fast chargers which delivers over 100 watts of power using our latest GaNSense technology to charge smartphones from zero to 100% in less than 20 minutes. This high power rating in this new category requires an additional PFC circuit. So two GaN power ICs are needed roughly doubling GaN revenue opportunity for charger. Xiaomi was the first GaN fast launched in this new category with their Note 11 Pro Plus and now Vivo has followed with their IQ9. We expect several others to join this exciting new product category later in the year. And today, we were very excited to announce a major win at tier one Korean smartphone customer. While we can't share further details until that customer makes more of a public announcement this is a major step forward in the adoption of GaN across all major mobile players in smartphones, tablets and laptops. In fact, with this new announcement, we are now in mass production with eight out of the top 10 mobile players and when considering customer projects in development Navitas GaN technology has now been adopted by all of the top 10 mobile players. Next, let me share a few important updates on our market expansion plans. In Q4 as expected, we started sampling our higher power GaN ICs that are targeted for data center, solar and electric vehicles. Our GaN IC technology is unique compared to our GaN discrete competitors as we integrate one or more power devices, along with analog circuits that includes drive, control, sensing and protection. This monolithic integration is essential to unlock the full system benefits of GaN by eliminating parasitics, increasing operating frequencies, reducing the size, weight and cost of both passive and mechanical components, and maximizing the energy savings while reducing system costs. These benefits are actually magnified as our GaN ICs are applied to higher power applications such as the ones we target in data center, solar and EV. As a consequence, the customer response to these new higher power GaN ICs has been extraordinary, and we now have dozens of customer engagements well underway towards adopting our GaN technology. To support and accelerate this customer adoption we announced the opening of two new design centers to drive GaN adoption for data centers and for electric vehicle. We believe both of these design centers are a first for industry and a key ingredient in our unique company strategy to co-develop GaN based power systems with our customers in each of our target markets. We have staffed these design centers with impressive industry recognized technical leaders and engineering teams that have a proven and unique set of capabilities to develop disruptive, next generation GaN based power systems in each of our target markets. These teams are equipped with advanced tools along with the technical skills that span all hardware and software needs across power architectures, passive component optimization, thermo mechanical design, EMI mitigation and system cost and manufacturability considerations.  Last week, Navitas was the first company to publish a sustainability report that comprehensively quantifies the positive impact of GaN power semiconductors and climate change based on global standards. To share some highlights from the report, GaN Power ICs have up to 10 times smaller CO2 footprint compared to silicon equivalents. Each GaN Power IC shipped saves four kilograms of CO2 and can reduce customers carbon footprints, for example by up to 30% savings for a 65 watt laptop adapter. Based on third party reports, adopting GaN in electric vehicles could accelerate EV adoption by up to three years and eliminate 20% of road sector CO2 emissions by 2050. It is estimated that GaN could save 2.6 gigatons of CO2 per year by 2050 the critical timeframe of the Paris Accord. You can expect to see much more on this front as we look to take a leadership role across the entire semiconductor industry in accelerating the electrification of our world. In terms of quality and reliability, Navitas is already leading the industry by shipping a cumulative total of over 35 million units without a single reported GaN related field failure and we have also completed over 5.8 billion device hours of testing. Given harsh electrical and environmental conditions and the critical need to avoid power failures which could shut down entire systems we are pleased to announce another significant development; the industry's first 20 year product warranty. This warranty is unprecedented in our power semiconductor industry and reflects our commitment and competence in the quality reliability of our highly protected and integrated GaN ICs. This 20 year warranty supports our plans to extend the lifetime of mobile chargers and consumer power adapters thereby further reducing waste in CO2 emissions. And it's also an essential competence factor and differentiator for Navitas as we look to enable GaN based data centers, solar installations and electric vehicles. You'll see us roll out this warranty across all of our GaN IC product range in the coming weeks. Before I turn it over to Todd to discuss the financials in more detail, I want to summarize the many exciting industry first achievements that we've announced recently or in today's earnings call. The first power semiconductor supplier to reach an IPO in seven years from its founding. The first to monolithically integrated sensing capabilities in GaN, the first GaN company to penetrate 10 of the top 10 mobile players, the first GaN company to reach 35 million units shipped and to do it with no GaN related field failures. The first 20 year power semiconductor product warranty, the first design centers for GaN dedicated to data center and EV and the first sustainability report dedicated to quantifying GaN's positive impact. And now over to Todd Glickman, our CFO.
Todd Glickman: Thanks, Gene. And thanks everyone for joining us today. Let me take you through our fourth quarter numbers and guidance for Q1 and 2022. GAAP revenue for the quarter grew to $7.3 million representing 30% sequential growth from the third quarter of 2021. For the full year, we grew revenue to $23.7 million, which represents year-over-year growth of 100%. Mobile demand remained strong throughout the year despite the fact that our GaN revenue growth was limited in the second half due to our customers supply chain constraints of non-GaN related components. Non-GAAP gross margin was 44.3% in the fourth quarter, up from 37.7% in the same quarter of the prior year. For fiscal year 2021 we grew non-GAAP gross margin to 45.4% from 33.2%, which is consistent with our strategy to deliver attractive margin expansion while passing along cost reduction to our customers. With regard to expenses, we have grown our sales and marketing teams to support our rapid growth in the mobile market and our expansion into data center, solar and EV. We have also invested in legal and accounting infrastructure needed to be a successful public company. Taking together, we have increased our non-GAAP SG&A expense from $3.7 million in the fourth quarter of 2020 to $4.2 million in Q4 of 2021. Non-GAAP R&D expense grew to $6 million in the fourth quarter of 2021 compared to $4.5 million in Q4, 2020 as we continue developing multiple new generations of GaN ICs and we've developed and delivered new high power GaN ICs for datacenter, solar and EV.  Putting all this together non-GAAP net loss from operations was $6.9 million compared to a net loss from operations of $6.3 million in the fourth quarter of 2020 as we are in a heavy investment mode in this rapid growth phase of our company. Turning to the balance sheet. Cash and cash equivalents worth $268 million. Inventory was $12 million compared to $11.7 million in the prior quarter as we maintain healthy inventories to support short lead times and significant growth and upside opportunities with our customers. Moving on to guidance. For the first quarter of 2022 GAAP revenues are expected to be between $6 million and $7 million compared to $5.3 million in the first quarter of 2021. Last year in the first quarter, we sold our first inbox GaN chargers which mitigated what would traditionally have been a seemingly lower quarter. For this year and in future years, we expect Q1 to be seasonally similar or lower than Q4. Q2 is expected to be a significant growth quarter with many spring customer product launches propelling at least 50% sequential growth from the first quarter. I'd also like to mention that we have posted an Excel spreadsheet showing our historical quarterly financials and the seasonality you can see in 2020. As previously indicated full year revenue is expected to double from 2021 to $48 million. GAAP and non-GAAP gross margin is expected to be approximately 44% plus or minus 1% in the first quarter and for the full year of 2022. TSMC's 20% wafer price increase announced late last year is leading to a 6% gross margin reduction that is factored into our Q1 and full year guidance. As Jim mentioned, we will launch generation four which will fuel margin expansion into 2023. Our long term strategy and expectation to achieve system cost parity with silicon in 2023 and deliver 55% gross margins long term is unchanged. In total, our non-GAAP operating expenses in Q1 are expected to be approximately $13 million, which excludes stock based compensation and amortization of intangible assets. Full year non-GAAP operating expenses are expected to be approximately $58 million which includes a full year of expenses associated with being a public company. Finally, we expect our basic and diluted share count in Q1 to be between $120 million and $124 million. The majority of our shares outstanding are held by major shareholders and executive management and are currently subject to lockups expiring on or before October 2022 and October 2024 respectively. In summary, 2021 was a pivotal year for Navitas. We doubled our revenues and expanded our non-GAAP gross margins by over 12%. In addition, we have invested in the next generation technology immediate infrastructure that will allow us to achieve our expansion and scalability goals for 2022 and beyond. Gene and I are now ready to take your questions. Operator, let's begin the Q&A session.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Ross Seymore of Deutsche Bank. Your line is open.
Ross Seymore: Hi guys, thanks certainly to asked a question. Gene, I want to talk first about the supply side of the equation. Last quarter, you mentioned that probably cost you a million units. Has that gotten better? Is that still a headwind? Did you look forward into the first half of this year? Just any update there would be helpful.
Gene Sheridan: Sure. Definitely, Ross. Thanks for asking that question and joining us. We don't see short term significant impact based on the guidance. We think our customers have adequately factored that into their forecasts as of now and looking forward in the year. And if anything we see a little progress because we have worked with our customers to approve some of the additional suppliers for the non-GaN components, which creates some flexibility for them. So it seems like the trends are moving in the right direction. And we think we factored in any of those constraints on a go forward basis.
Ross Seymore: Thanks for that color and I guess is my follow up just switching over to the margin side of things. I think everybody's well aware of the wafer price increases that the foundries have passed through. Can you just talk a little bit about the magnitude of the offset when you get to Gen three and Gen four. I know it's a couple of years out. So it doesn't have to be precise guidance. But Todd, you mentioned that your 55% target is unchanged. If we got a little bit of linearity between the 44 and the 55 target, any sort of stair step up timing that we really need to be cognizant of?
Todd Glickman: I would add we're ramping generation three. Now, there's sort of an offset between the generation three cost reduction and the TSMC price increase that results in being kind of margin neutralized, as we said, sort of flat into this year from Q4 Gen four kind of restarts that margin expansion will start sampling of that in Q2 and that'll ramp in the latter part of the year. And I think ultimately result in nice margin expansion into ‘23. And I think then we could sort of look at that stair step as you said or that linear extrapolation towards the 55% a longer term goal.
Ross Seymore: Perfect, thank you.
Todd Glickman: Thanks Ross.
Operator: Thank you. Our next question comes from [indiscernible] of Baird. Your line is open.
Unidentified Analyst: Hi, this is Tyler on for [indiscernible]. Thank you for taking my questions. I'm starting off with engagements or joint ventures do you have in China that you can talk about and how is China part of your market share plans given the power charger supply chain there?
Gene Sheridan: Yes thanks Tyler. Good question. Certainly China has been fundamental to our strategy from the start largely, almost half or 40% of our company footprint is in China, we have an extraordinarily strong local team. They're not just in sales and technical support FAE but multiple design centers. They're both developing GaN chips as well as developing GaN based power systems of the design centers I mentioned actually. Mobile was our first one, which is center, they're supporting customers around the world. But even our data center and our new newest EV design center is there. So it's a very strong team. Those are not formal joint ventures or partnerships per se, but internal capabilities and that sets us up to really former strong customer partnership with all the key customers not only in China but globally, so we're in a really strong spot there in China.
Unidentified Analyst: Great. And then for my follow up in 2020, you shipped about 11 million units into smartphones. What was that figure for 2021?
Gene Sheridan: 2021 unit shipments, revenue estimate.
Todd Glickman: At the end of ‘20 was 6.5 the end of ‘21 was 35.
Gene Sheridan: Yes. So close to 25 million let's say, north of 20 million units is our estimate.
Unidentified Analyst: Awesome, I appreciate you taking my questions.
Speaker: Thank you, Tyler.
Operator: Thank you. Our next question comes from Kevin [indiscernible] Securities. Your line is open.
Unidentified Analyst: Thanks for taking my question. On the -- you'd mentioned that fast charging is little less than 20 minutes takes two power ICs. What percentage of designs that you're working on will be using that?
Gene Sheridan: Yes. Hi, Kevin, thanks for the question. Ultra fast charging, obviously a big deal. There, we're talking about over 100 watts, anything north of 65 watts actually requires that power factor correction, extra circuit, thereby doubling the likely GaN content. And we didn't break it out in any specific detail. But it's certainly the fastest growing part of the fast charger market. And there is certainly many designs coming. The first was Xiaomi. As I mentioned Vivo is already recently launched. And obviously, we can't talk about the specific customers coming out before they're public. But it is a fast growing percentage. And there's many new designs in that category to launch later this year.
Unidentified Analyst: Okay, great. And as you look at the design centers, we're in the or data center in EV what's the product roadmap that you'll be introducing for those markets or what timeframe I guess, would you expect to see significant revenue?
Gene Sheridan: Yes, it's a good question. So data center we actually announced late last year and we've already launched our first sort of system level prototype that acts as a reference design, as well as a demonstrator to all of those data center customers to show them what's possible in GaN. From there, we'll quickly expand into different power levels, different form factors, and next generation versions that keeps pushing the energy savings. So we're well on our way to the customer engagements and delivering those exciting new GaN based platforms. EV is just starting out, we announced it in January. We're in the process of building out the team, building out the lab. We will have the core team and core lab in place in Q2. We'll have initial prototypes of onboard chargers. And that's our first application focus. There's many applications in EV as you know, but we'll start with onboard chargers using our GaN technology. And we'll have that available as a prototype or a platform to demonstrate to our key customers in the second half of this year.
Unidentified Analyst: Great, thank you.
Gene Sheridan: Thanks, Kevin. 
Operator: Thank you. Our next question comes from Quinn Bolton of Needham & Company. Your line is open.
Quinn Bolton: Hey, guys congratulations on the results and the nice outlook for 2022. I guess I wanted to start there, it sounds like you feel pretty good that the supply chain is starting to improve but I guess looking at the doubling in revenue, if I just do some quick math, that sort of implies on average, maybe 3.5 million of sequential revenue growth each quarter to get to that sort of 48 million level for the year. Is that the right way to be thinking about how you see the business? Is it sort of a linear increase across the four quarters of the year and you see sort of a different revenue pattern into the second half?
Todd Glickman: Great, thanks, Quinn I appreciate the question. It's a great question. When you're looking at our business on a quarterly basis, I think the best way to look at it is to look back at 2020 to look at our seasonality. We do expect the first half of the year to be around 30%, while the second half will be 70% of our total year revenue.
Quinn Bolton: Got it. But 2020 is a good proxy for what you might see is normal seasonality in the business?
Todd Glickman: That's correct.
Gene Sheridan: Yes, I will just add. ‘21 is a little unusual because we had a major new launch the Xiaomi 55 watt inbox in December, which is not a common time to launch and that carried through into significant revenues in Q1 making it a little bit non-traditional or non-typical in terms of seasonality. So as Todd described ‘20 is a little bit better way to look at it and give you good guidance on how to expect to ramp this year.
Quinn Bolton: Got it. And just longer term question on gross margins following Ross' question. It looks like the data center and solar products sort of on track to ramp in calendar ‘23 just as you're starting to see the benefits of the fourth generation technology in the mobile and perhaps the consumer segments. And so I'm wondering, do you see pretty good progress as all of that begins to contribute in 2023? Are there headwinds to margins that we should be thinking about out in next year?
Todd Glickman: Yes, I think there are two dynamics. As you point out, one is market expansion, we generally expect improved higher margins in the higher power markets, data center, solar and EV at the same time, we think our generational improvements, even in the mobile space are going to continue to incrementally expand margins while offering cost reduction to our customer. So I think we will benefit in ‘23 and beyond by both of those dynamics, ultimately combining together to achieve that longer term goal of 55%.
Quinn Bolton: Great. And last for you Gene maybe a more technical question, but you talked about as you go up in power to 65 watts and above, you need to add that power factor correction stage, which adds a second opportunity for GaN IC. Wondering if you can talk about, are you seeing a transition in architectures from like fly back to active clamp that may further increase the GaN content in some of those higher power applications? Or does active clamp architecture really play more in either data center or some of the consumer chargers?
Gene Sheridan: Yes. No, it's a great question, a very good observation. In fact, around 100 watts, we see most commonly a single GaN chip in the PFC and a single GaN chip in the traditional fly back, what's called a QR flyback. Actually, as you push that power level up and you want the energy efficiency to go up, say at 120, 150 watts, even 200 watts, which is a crazy amount of power to be pumping into smartphones and mobile devices. But that's exactly where we're headed. And you could imagine how fast the charging is going to be. But as you do that, you can actually benefit from two, a second GaN switch in the PFC circuit, and a second GaN switch in the second stage, the flyback stage. And as you alluded to, there are alternative topologies beyond QR, which only uses a single GaN switch, whether it's active clamp flyback, LLC or some other variations of those two, that both employ two GaN switches. So we're really headed towards one to two to then two, three, and then eventually four GaN switches, as we keep pushing the power, the fast charging and the energy efficiency higher and higher.
Quinn Bolton: Great. Thank you, Gene.
Gene Sheridan: Thanks Quinn.
Operator: Thank you. Our next question comes from Blake Friedman of Bank of America. Please go ahead.
Blake Friedman: Hi, thanks for taking my question. Just a quick one on with consumer products expected to ramp throughout this year and data center and solar markets ramping in 2023. I was just curious if you can provide any color on how we should think about cash burn through this year as well as any color in the next year?
Gene Sheridan: Let me clarify first Blake, were you looking for further definition on what sort of things are ramping in the markets or more interested in the financial part of your question? 
Blake Friedman: More interested in the financial part.
Gene Sheridan: Sure.
Todd Glickman: Yes. Thanks for the question. So we finished the year at around $268 million in cash with a doubling of our revenue and OpEx of $58 million on a non-GAAP basis for 2022. We do expect to use around $40 million of our cash on our balance sheet leaving us plenty of cash to put to work on strategic and other partnerships in the future.
Blake Friedman: Got it. Sounds good and then actually just kind of drilling down more on kind of consumer opportunities ramping this year. Just curious if you can highlight in what areas of the consumer market you are beginning to see early traction and maybe what percentage of revenues this year can come from consumer markets?
Gene Sheridan: And Blake, when you mentioned consumer, are you lumping in mobile into that or consumer somehow separate from mobile?
Blake Friedman: Yes. Separate from mobile.
Gene Sheridan: Yes. The predominant part of our revenue forecast this year is definitely dominated by mobile. That's fast chargers for phones, tablets, laptops, and frankly the aftermarket which could be charging anything that uses a USBC output. With that said, we also see this year as the start of the non mobile consumer as you're alluding to, things that don't have a battery, you're not carrying the charger around, but actually they still care about power delivery, energy savings, size and weight. We have pointed to two in the past two promising areas that we'll be launching and ramping this year. One is in LED TV. Another is in traditional desktop, PCs and PC related peripherals. We don't have any announcement yet on those but as those products come to market we'll share more details about them. There will be a small percentage of that total. But that is a promising and is really important multibillion dollar opportunity beyond mobile into the broader consumer adapter space.
Blake Friedman: Sounds good. Thank you.
Todd Glickman: Thanks, Blake.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Natalia Winkler of Jeffries. Your question, please?
Natalia Winkler: Hi, Gene and Todd. So I think question is to you and I wanted to just dive in a little bit more in the gross margin throughout the year. I appreciate kind of how it stacks up longer term, but as you seen for the year, can you please kind of walk us through the different dynamics we're with inbox and aftermarket types of revenues? And how should we think about the gross margins for the year?
Todd Glickman: Sure. So that's great question, let me start with the gross margin. So we finished Q4 at 44%, We are guiding to Q1 at 44%, as well. So flat and that's driven by the TSMC price increase. We believe the full year will be at 44%. But you can look at the margins, with the understanding that GaN four is coming in the second half of the year. So we do expect a little bump there. So knowing that in mind, you'd be able a better position to determine their margins on a quarter-to-quarter basis.
Natalia Winkler: This is very helpful. Thank you. And I guess the second question is sort of a similar one for the OpEx. So is it going to be stepping gradually over throughout the year? Or is it going to be a significant decrease sequentially into the second quarter and then more linear.
Gene Sheridan: So it's more on the stepping gradually throughout the year as we add headcount, along with develop new products into the market. So a small step up each quarter throughout the year to hit the eventual $58 million for full year OpEx.
Natalia Winkler: Understood. Thank you. That's very helpful.
Operator: Thank you. At this time, I'd like to turn the call back over to Gene Sheridan for closing remarks, sir.
Gene Sheridan: Thank you, operator, and thanks to everyone who joined us today. It's a big time for Navitas an exciting year for us. And we look forward to a great future later this year as we electrify the world and move the world towards GaN based electricity. So thanks for joining us.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.